Operator: Good morning, ladies and gentlemen. Welcome to the Conference Call related to the Results of BRF SA for the Second Quarter of 2022. We would like to inform you that this conference call is being broadcast over the internet at www.choruscall.com.br/brf/2q22.htm. Right now, all participants are in listen-only mode. And afterwards, we’ll have the Q&A session, when we will provide further instructions to the participants. We request that each participant ask just one question. Statements included in this presentation concerning the company’s perspective business projections and growth potential are merely forecasts and were based on management’s expectations regarding the company’s future. These expectations are highly dependent on market changes and the general economic performance of the country and industry segments and therefore are subject to change. This conference is being recorded. And it will be presented by Mr. Lorival Luz, Global CEO of the company. The other Vice Presidents of the company are also present. We will now hand the floor over to Mr. Lorival Luz who will commence the conference.
Lorival Luz: Good morning, everyone. Thank you for participating in this conference for the results of BRF for the second quarter. I would like initially to apologize for our delay. We had a technical issue with the – our provider of the teleconference. So, please forgive us for this delay. Moving on to the results of the second quarter, we – I would like to say that we had a positive quarter, illustrating the effects in our operations of the decisions that we took in the first quarter regarding adjusting our market position and adjustment of the whole chain. So in this second quarter, we already have an EBITDA of BRL 1.4 billion, 7.7% higher than the second quarter of 2021 and also a lot higher than the first quarter of this year. We will look at all the other segments and regions where we had improvement in all of them. And also, our focus in the second quarter was on the cash flow and the net results along with the operational management, with priority on more efficient operations, we’d like to reinforce that. As you can see in the financial statements, we had two non-recurring events related to the hedge of the bond issued in 2012 and also regarding the hyperinflation in Turkey that required us to perform some accounting adjustments in Turkey. We want to make it very transparent to you so that we can assess the operations results in itself, where we have gross margin of almost 19% and 10.3% in the EBITDA – 10.6%. So in the next slide, we took those decisions in the first quarter so that we would go back to the company’s previous margins. As you can see, this has happened, the results of the second quarter, we had almost 19% of gross margin, almost the same as the margin for last year, and we know that there’s a seasonality to our sector. And this is in accordance with that, and we had a very good recovery of our operating margins. And as you can see in the next slide, I’m going to talk a little bit about the business environment in Brazil and also in the international market. When we speak of Brazil, is our main market and what we were able to realize in the second quarter is that, there has been resumed of our healthy profitability level. We had a hard first quarter and we had to take a lot of measures to adjust our inventories and our supply chain. And we were able to now have a positive EBITDA, but with a margin that is still below the potential of our company and the Brazilian market. But with that EBITDA margin of 6.1% that from minus BRL 7 million EBITDA. So we can see the effectiveness of the measures that we’ve taken. And we’ve also had an adjustment and a reduction of our stocks of inputs and also finished products, allowing for more efficiency in our whole chain and also in logistics. Something that’s important to highlight is the versatility of our portfolio with the brand Sadia, Perdigao, Qualy, Claybom and Deline that encompasses the whole market we reach that many different social levels, and that shows the resilience of our sector and also of our product portfolio. So it’s a very positive scenario when compared to the first quarter of this year. Of course, we need to be – continue to be cautious with the cost scenario. But it – at a different level than what we saw in the previous quarters regarding the main costs, we would say that these costs now are practically stable and in the second quarter, we may have less impact by diesel, given the measures taken by the government to reduce diesel prices in Brazil. So, that will have an impact in our – on our company’s costs in the second half of the year. And that allowed for better performance in Brazil, but requires us to be cautious and a very austere management, paying attention to the details so that we can have operational efficiency and bottom line with increasing profitability for the company. In the next slide, we can see that there’s an also positive scenario throughout this quarter with the results. So, you can see an improvement in their performance. These are actions that were implemented each month and we see the results each month here in Brazil. There was also been a recovery in the price of chicken and pork as you can see in these charts, that reflect the marketplace from CEPEA. And even given that challenging scenario that we have in Brazil with a decrease in income. What we have from information from the Brazilian Supermarkets Association is that, there is a strong resilience in the food sector. These – we offer basic products that are always the priority of the consumers when they are making decisions to make sure that their money is being invested in food. When we look at the International scenario, we’ve seen improvement in margins and also advances in all sectors and areas. Very positive Halal market with robust margins, robust positioning that has leveraged our local position and showing the strength of our local brand and our local distribution as well as our local sales team that have allowed us to have proper positioning with a best product mix. We can see the advance of processed products, where we can capture better margins in this market. When we look at direct exports, we also had very good improvement. We almost doubled the margins in the second quarter, also much higher than last years. And when we look at Asia, there is still a lot of impacts by China, so which led to a lot of challenges in sales, but already with better results. And when we look at direct exports and the impacts from Asia show the results of the adjustment and the advance of the structure simplification that we announced in the past quarter, we can see that it’s more dynamic and agile. And that allows us to capture more volume and margin, and we are starting to see the results as you can see in the numbers that we are showing here. And this is a trend that we are seeing in the month of July. And, now you can see the results. When we go on to the next slide, I think it’s important to mention our strategy in Saudi Arabia. We opened a plant there for processed foods. So now we can have – we can increase the production capacity of value-added items in that country. We have recently had an approval to export from our plant in Kizad to Saudi Arabia. And that reinforces our capacity of exports of processed food that have a higher added value at a very important moment in the second quarter, where we will have a World Cup for the first time in that market, which will begin in the month of November. So, I think we are very well positioned with our brands to capture this opportunity given our local presence, not only in Qatar, but also in the other countries of the Emirates that are going to be hubs for this tourism, with an increase in religious tourism, business tourism, as well as leisure tourism as we’ve been seeing it in that region. And we are ready to seize the opportunities that this will provide for us. Here on the right side, you can see the positive scenario of the direct export. These data from the Brazilian Export Chamber, SECEX and you can see that the price is higher than what we had for 2020 and 2021, and it reflects what we mentioned in the first quarter regarding the impact of – the Ukraine – the situation in Ukraine as it is one of the largest exporters in the world and also the exporters that have been affected by avian flu. So, we see this effect here in the chart. And as for pork, this scenario we see that the first month, it was worst than the past years, but we see improvement starting in May, and also with prices that are more stable and an improvement from the beginning of the year. To give a little bit more detail on this, we see the reflection of chicken in Japan, but also South Korea with an increase in price. And I think it’s worth looking at China, because, when you look at this chart, you can see the peak in pork that happened in the second quarter of 2019 and continued until last year and the level changed, but we can see that a recovery has started and within June, July, we’ve already had a price increase. When we move on to other segments, we’ve also seen positive results when we look at Pet Food, that planned integration has allowed to increasing results and margins. And that we can see the effect of this synergy that we have in our product portfolio, our sales teams, operations and logistics. We see that this integration was very well planned and is being very well executed by our Pet Food team, and with good market positioning. We now have a very relevant presence and are increasing all of our brands. And we can see that there’s a lot of potential for growth, given the position that BRF has in the international markets. Their doors will certainly open for us to export that food to these countries where we already have a commercial relationship. So, this is a very positive opportunity. And also in the Ingredient segments, we are seeing positive results that show the strength that we have, the broad range of our products and how we are able to better use them in our chain by adding value within our units. So this work is being very well executed very efficiently and we are seeing the results throughout the past years and also the past quarters. Within our ESG agenda, we are advancing our plans. It is a priority to work and to make decisions towards our net zero journey. BRF is working to be recognized for our social responsibility. We have the BRF Institute that was founded 10 years ago and works in several different areas, such as education, citizenships in the different locations where BRF has operations. And something that is always a priority for us is ESG, because we also want to be economically sustainable. We want to work with social responsibility governance, but we need to have economic sustainability as well. And now, to talk about the capital structure, I will hand the floor over to our CFO, Fabio Mariano.
Fabio Mariano: Thank you, Lorival. Good morning. First off, let me talk about the capital structure. And I’d like to say that despite we have to live with the leverage above our objectives to run BRF. We currently have a plan that will boost the generation of free cash flow. I’m talking about working capital in the inventory line, not only finished goods inventory, but other inventory lines, raw materials and other items that can also boost our capacity to reduce the net debt of the company. The second comment I would like to make before I start, I would like to highlight that the company’s debt profile remains solid. Liquidity is at about BRL 12 billion, when we consider pre-negotiated lines, as allocated credits, that would be enough to cover amortizations in the years to come. So there’s no risk, there’s no imminent risk of renegotiating it. The average profile is long, the average maturity is nine and a half years. And another clear intention on our part, the need to reduce indexation of a strong currency. A subsequent event as public will be issuing CRAs BRL 1.7 billion and the use of these resources will be used to prepay debt in strong currencies, in hard currencies. That’s our goal in the second half. That will contribute to reduce the weight of the dollar in our debt. Let me now talk about the performance of free cash flow generation in the quarter. Consistently, just like we said in the first quarter, the FX despite free cash flow generation is neutral minus BRL 12 billion. It’s important to say that we have that FX benefit that’s explained by these almost BRL 800 million related to derivatives and the FX in our cash. So that cash generation ex-FX is about BRL 770 million. And I’m referring to cash consumption, that’s only natural that our debt will go up. And I show you here, you have a BRL 1.7 billion increase in the net debt it has to do with the market debt in hard currency. Despite the fact that we’re receiving cash associated to derivatives, we mark it – marked our debt that is pegged to the US dollar. We have to qualify what that effect is. It’s about a BRL 8 billion effect that also contributes to a higher debt in the quarter. And I’ll turn back to you, Lorival for your final remarks.
Lorival Luz: Okay, let me move on to final remarks. Let me just start by saying that I have to thank the support of our Board of Directors as to all the decisions and all the implementations of the measures that were necessary throughout the first half and the second quarter. They’ve been always there to support us, to guide us and we can see that reflection and the positive results we’ve had. Once again, we’d like to thank them and state that we are in total alignment with our Board of Directors, the entire company, the entire team of executives, the entire BRF team are aligned our margins have improved in all segments. And the second point, we still hope to acquire or to have even more gains with the plan we have just started. A plan we started implementing in the second quarter. Some of these gains can be seen in the capturing market opportunities. So we are, volumes and margins are on the rise. And there are other effects that will be perceived in months to come. Our second half will be focused on improving our service level and execution to capture even greater volumes and results in Brazil. So that we can go beyond previous records. So the focus will be on the execution of our strategies in the second half. It’s a very important second half because of its seasonality and [technical difficulty] it will be different. For the first time, we’ll have a World Cup. It’s important in Brazil being held in this semester, and then the holiday season. Two very important campaigns that will require our focus and we are hands on. We are obsessed with that appropriate execution, so that we can get the best results possible. This has to be in alignment with marketing strategy, brand strategy, positioning, introduction of new products, a stronger positioning of Sadia brand as you can see that positioning is going to be crucial. BRF with Sadia and Perdigao brands will be the sponsors of the broadcast of the World Cup in Qatar. BRF, Sadia and Perdigao will be there present in Broadcast TV and pay TV. So focus led by Fabio Mariano, our CFO, we can even dare to say it’s an obsession to generate cash to have better net results brought about by a series of initiatives, activities that are well thought of in order to get positive cash generation and a continuous improvement now in the second half of the year. And in conclusion, this second half demands our caution, our intention, taking into account all variables that may impact our business. But there’s also that positive outlook, as I said, the World Cup and social programs that have been injecting resources in our economy, part of it will come to the food industry, and BRF is well positioned to capture that extra income too, and we’ll be working on it throughout the second half of the year. We have to pay close attention to detail. There are many external and internal variables that may impact our business and they may require immediate action on our part. Once again, thank you. And we will now start the Q&A session.
Operator: Ladies and gentlemen, we’ll start the Q&A session. [Operator Instructions] Isabella Simonato asks the first question.
Isabella Simonato: Thank you. Good morning. Can you all hear me?
Lorival Luz: Yes.
Isabella Simonato: Good, good. Thank you, Lorival. I have two questions. What is your take on the chicken or poultry cycle both in Brazil and abroad? Exports are on the rise in the first quarter or the first half of the year and a drop in the accrued, but as far as margins go, they may be recovering, especially in the recent decrease in prices for grains. What’s the supply outlook? How can prices hold internationally? And my second question goes to Fabio. Your comment about cash generation actions and inventory. Inventories were going through the roof back in 2021 that impacted performance in Q1. But the company’s recent history indicates that the lack of inventory represents a problem too. So I would like to better understand what would be an ideal inventory level, maybe number of days what metrics do you use that can help us understand the work – working capital balance? Thank you.
Lorival Luz: Thank you, Isabella. I’m going to talk a little bit about what we’re seeing for the poultry. We don’t see a lot of changes in the short-term. So we still have certain effects that will take time for them to be rebalanced or readjusted. When we have a producer set that is an important place such as Ukraine, it takes some time for the market to adjust itself. We also have the avian flu impacting Europe and the United States, maybe not in very concerning or catastrophic levels, but it still continues. And there’s another situation that is related to the availability of eggs. In the whole world, we see a scarcity in the United States, Europe and even in Brazil. And I wouldn’t say – I would say that, that impairs the growth and also with regard to placement and production. So, we need to look at all these factors. And I don’t think we’re going to see any significant changes in the poultry market. Before I hand it over to Fabio, you said something that concerned me. You said that in the past, we had problems when we reduced inventory, I can tell you that this is not going to happen. We are not working to reduce inventories that will place any risk for the company. What we’re seeing here is to have a more efficient management, especially with regard to inputs. And when I say, inputs, that’s the inputs that we produce. So, I slaughter the chicken and it becomes an input. That’s what I’m talking about. It’s not for example, corn. It’s the product that’s frozen to become inputs for production later on. That’s where we need to improve our efficiency within, because then we can allocate less capital, less storage costs and less logistics from the plant to warehouse and so on. So that’s what we’re talking about. And, of course, along with an adjustment of finished products. So I just want to make this very clear that we will never put in risk inputs related to feeding our animals.
Fabio Mariano: Yes. And just to add on to what Lorival said, Isabella you know our grain inventory you know it’s part of our hedging policy. There’s the risk of price volatility and also of supply. So that is something that’s not under discussion. And we had – we were having interest of around 2% and 3% in Brazil, and now these capital charges can reach up to 14% to 15%. So, the company needs to challenge these minimum inventory policies. And that’s what we’re working on. We have identified some excesses in a few lines and we want to reduce that to have them at the minimum levels, and we need to test these frontiers. The cost of service. What’s the cost of placing the product at the sales point? We see that there’s a lot of capital that can be demobilized. And we may risk losing sales. But once again, this year, we have a coverage about 13% to 14% associated to this. So we already have certain initiatives in progress and we hope to see them effectively implemented in the second quarter.
Isabella Simonato: That was very clear. 13%, 14% of coverage, that was not clear. You were breaking up.
Fabio Mariano: It’s about the financial charges. There’s a lot of margin there. Is it clear now?
Isabella Simonato: Yes. Yes, it is. Thank you.
Operator: Our next question is from Thiago Duarte from BTG.
Thiago Duarte: Good morning. Good morning, Fabio. Good morning, Lorival and everyone. Could you please elaborate on the slide that you showed the recovery in Brazil. Three months ago during the Q1 earnings call you explained the measures you took to reduce inventory levels throughout the chain. And it was very clear to us that this was a concentrated adjustment for Q1. And things would go back to normal in Q2. That’s the impression we had, then, of course, there were major improvements on a quarter-on-quarter basis. But when you look at the sequential improvement of results, when we try to make any calculations with that kind of information, we have the impression that gross profits in Brazil, when we look at May, June and July when it’s much better than April, it’s still below 20%, which is way below what would be your history performance in the Brazilian market. So I’d like to have a better understanding. Is there the results of measures you took in the first quarter? Because the results in Q2 were below those of Q2 of last year? Can we believe that the Q3 will be normal without those effects of those measures you took in Q1? I think this is an important discussion to have. The second portion of my question, let me bring the discussion to the working capital issue. I have the impression that part of those inventory reduction are more streamlined inventory may have to do with the fact that the company has reduced its slaughtering pace, its production pace. So here’s my question, as you bring numbers of slaughtered animals, goes back to normal, the companies still have some working capital left to consume? So that’s my second question. And the third question, I think it’s more directed to Lorival. Can you talk about the future? The 2030 vision. In Q3, you said it was under revision. And you made many decisions to improve efficiency, you’ve already announced them. But I would like to hear from you, what are the adjustments that you’re going to make for the 2030 vision? What are you considering implementing? Can you share some of that as far as growth is concerned, investments and how will – and how the company will be positioning itself in the long-term? Thank you.
Fabio Mariano: Thank you, Thiago. Regarding Brazil’s recovery, when we compare it to the same quarter in 2021, we are about 2 percentage points below last year. So, as we said, that means, we do have room for improvement and to reach those levels. I can say that this is sequential improvement. So, April still has certain effects from the decisions and the measures taken in the first quarter. Do you know that this is a very long chain and not at all the decisions taken, you have 100% impact within that month or I can say that within this quarter, you do have advance of gross margin and also the EBITDA margin from the months of April to June. As for your question for what we can expect after the third quarter if the scenario will be better. Well, I can’t give you any proper guidance or prognosis. But what I can tell you is that, we are on the right path, the results that we’ve been having shown that we are moving towards the objective that we want to achieve. When you ask about working capital and the level of inventories, what are we looking at there? What’s our focus? I look at the raw material for products and the inputs for finished products if I’m going to slaughter more or less that’s the means to an end. The management of the finished product is what we’re doing. If I’m going to slaughter more, that’s because I have more market and I have more sales. So, I would just like to show you this management. And then I can go back and talk a little bit about strategy. But I’ll hand it over to Lorival now.
Lorival Luz: Good morning, Thiago. What you mentioned about slaughter, it seems quite logical. But we will not have an incremental increase in working capital. What we did in the first quarter, let me give you the example of the disposal of eggs. You’ve already invested those resources when you dispose of eggs. So you’re eliminating your capacity of recovering that in the future. So, you’ve already had an impact on performance, as well as an impact on the cash flow. So, you will only have an increase in working capital when you change the level of that animal, the number of animals that you’re working.
Fabio Mariano: So the relative demand for working capital is more expensive. Even though you have more efficiency in the number of days, your efficiency is higher. You’re changing the level there. You have to take that into account. As Lorival said, the plan does not take into account the number of animals slaughtered. I hope I have explained that to you. Let me give you the strategic view. We’ll be working in reviewing that strategic plan, our avenues for growth. And once it is consolidated, we’ll be making specific announcement about it. Let me point out that our focus today and we are focusing all our energy in making those corrections, those that we made in the second quarter to improve results, as you can see. And now, the focus shifts are to cash generation and the net results of the company, so that we can go back to the profitability levels we had before. This will take place at the same time. And we’ll make that announcement as soon as we have concluded the plan, have been approved and in alignment with the Board of Directors, short-term, those corrections. And now the focus I have just mentioned for the second half.
Thiago Duarte: Thank you. Thank you for your answers.
Fabio Mariano: Thank you, Thiago.
Operator: Next question comes from Mr. Lucas Ferreira from JP Morgan.
Lucas Ferreira: Good morning, folks. Here’s my first question is about resuming exports to Europe? This is something I have been working on for quite some time. Have you made any different decisions? Are you setting your priorities elsewhere? Can you talk about maybe resuming exports to Europe? And my second question is about Halal. What is your take for the next quarters? In the press release, you believe you can expect some cool down in margins and profitability. Could you elaborate on demands perspectives for the third quarter? Is there more competition? Stronger prices? And I’d like to understand the costs curve for the inventory you’re selling for the second half? Thank you.
Lorival Luz: Thank you, Lucas. As far as Europe goes, we continue to be 100% aligned with the Board of Directors. We have been working towards that goal, which is to resume exports to Europe. As I stated time and time again, I don’t believe that that resumption will happen on a short-term basis. It’s a complex environment that involves diplomacy, trade agreements between Brazil and the EU. So the environment is not conducive to that resumption in Europe. Of course, we are tirelessly working towards that goal, but I don’t see that happen in the short-term. As far as the Halal market goes, I’ll turn over to Igor, he can give you more color as to that market dynamics. But we have to take into account the dynamics in that region, the resumption of tourism, which is very important to that region. I’m not talking about the locals, I mean, tourists are going back to visiting these countries as well as business and leisure tourism, and also take into account our positioning. Igor, you can take over.
Igor Marti: Thank you, Lorival. Good morning, Lucas. Thank you. Thank you for your question. When we have to think about the numbers we’re looking at in that Halal market, we have to understand that margins are reaching its historic records because of their Ramadan season, the campaigns we made, that were important to change the portfolio we had been trying to implement in recent years. You’ve seen higher added value and that added value can bring in higher margins that are more time resilient, and we’re closer to consumers. We can navigate through higher and lower times and do better than the rest of the market. When we think about the second half, there is demand for the Halal market. That demand is driven by the World Cup in Qatar, the population may double let’s say, 2 million inhabitants country, there will be receiving at least another 2 million tourists, many people will use Saudi Arabia, Dubai and Oman for connections. There’s no hotel capacity in Qatar to accommodate all these tourists. So we believe that’s Saudi Arabia, the EAU – UAE, rather, will have an increase in demand, because they’ll have that new consumers. So the demand is there. So our margins will become – will go back to normal levels. That will take place slowly, but gradually. But we are very enthusiastic about it. That’s what I can share with you. I hope I have answered your question.
Lucas Ferreira: That helped a lot. Thank you. Thank you so much.
Fabio Mariano: As to the cost curve. We have to take into account the commodities scenario, you know that spot prices impact our costs. That’s a six-month time period, because the feed inventories all the way gets to the chicken and to the end product, there’s a time lag there. So, some factors have improve – helped us improve. The grains scenario is less unfavorable as it used to be. So, nonetheless, we have to remain cautious, very stringent in our management strategies at every cost line to make sure that our operation remains healthy. Next questions.
Operator: The next question comes from Mr. Leonardo Alencar from XP.
Leonardo Alencar: Good morning. Good morning, Lorival. Good morning, everyone. Maybe just a follow-up. Just piggybacking with the comment you made in terms of genetics, that’s a challenge. Every country is going through that. So production may be on the rise and be resilient because of the lack of availability of chiclets to believe that you can improve margins more than in your top line, especially because of the performance and the Halal market, Asia recovering a little bit. Would you believe that you’d have more growth from the international markets than in Brazil?
Lorival Luz: Okay, that’s a very good question. And he might be able to give a better vision. What’s important to see is that, we do this analysis for each market. What flexibility can we give to the production to adjust to each region and to make sure that we have profitability and availability and other factors in each market and this is something that we manage daily in light of the whole international market. So, this may happen and we are always adjusting to the demand. And we have this versatility of production that allows us to do that.
Igor Marti: Okay, thank you for your question. And as Lorival said, this is a market with less supply and increasing demand. And we see that in the international market, and also in Brazil. So, with our planning team, we look at each market, what’s going on there, we see a positive scenario in Japan and Korea. Also in Brazil, we’ve had an increase in the consumption of chicken here, given our economic situation. So, we look at this every month, every day, of course, there are impacts from FX, we had an increase in cost. And this is a work that we do in the details, so that we can look at the work with the exports internal market and to have this balance. We don’t want to throw everything into a market, but we want to seize the opportunities that we have in each market.
Leonardo Alencar: Let me just make sure I understood that. We’ve seen that the poultry industry can adapt very quickly to the demand adjustments, because of shorter production cycle and that scenario, that you have a problem in production. Do you believe that that can change in the short-term?
Igor Marti: I think it’s changing already. We would be seeing greater recovery. It hasn’t been happening in a month-to-month basis. We’ll be seeing that placement is not taking place as fast as we would like it to be, that can be translated into better margins for the entire industry. Did I answer your question?
Leonardo Alencar: Yes. That’s very clear. Thank you.
Operator: Ricardo Alves asks the next question from Morgan Stanley.
Ricardo Alves: Good morning, Lorival and Fabio. Thank you for your call. My question is about Turkey. Can you elaborate on the international markets, specifically in Turkey? Do you believe that there is some structural improvement in Turkey that makes you feel comfortable? Along the same lines, I would like to elaborate on the expressive market share gains you’ve had there. How are you managing to navigate this more unstable environment, hyperinflation, devaluation of the currency and at the same time, you’re getting – you’re gaining market share? That’s my first question. The second question has to do with the market share gains based on Nielsen data. I think you – could you please give us more color breaking down by category, the behavior, the more aggressive behavior of your competitors, boosting pricing, reducing discounts. I’d like to better understand the dynamics for that share in Brazil? Thank you.
Lorival Luz: Thank you, Ricardo. I’ll let Fabio and Igor answer regarding Turkey. I think they can give you an answer and this adjustment to the hyperinflation in that country, which affects our results and also a little bit of the market dynamics. So, Fabio, Igor?
Fabio Mariano: Well, let me explain this effect. It’s just an accounting effect. So when you have an inflation over 100%, such as this case, when we’re speaking of assets and liabilities, we correct it from January to June, and so on. So, in this table, you see all these variations reflected line-by-line. And you can see that there’s a contribution to net profit. And we try to adjust this. Of course, in this first half of the year, we had a very good performance in Turkey despite the hyperinflation. So, we were able to pass through the prices and to have a good way to uphold our margins. However, we see some challenges ahead of us. And I’m going to let Igor explain this new scenario.
Igor Marti: Thank you. Good morning, Ricardo. When we look at that hyperinflation in Turkey, there are three metrics that we try to control and accelerate. It’s to gain market share, our portfolio mix, and also margin resilience and the pass through of prices. If you look at the second quarter results, you can see that we’ve had year-on-year market share and with an increase of 4.5 in processed products. So, this has allowed us to keep a margin resilience so far. Our concern for the future is the direct effect of hyperinflation is impoverishment of the population. And we know that there’s a direct correlation between income and protein consumption. And we have seen the movements in categories that increase or decrease along with other proteins. So, as a whole, we do see a reduction of the market as a whole and we are paying a lot of attention to this and monitoring that. So what is our strategy for the future, is to use our global platform, to have more exports in the Turkey 30% of what we produce is related to our exports. So we export 30% of we produce and I think we gain competitiveness and we need to explore that market. So we will explore Iraq while – and the North of Africa so we need to improve that while there’s the scenario of hyperinflation and make sure we [technical difficulty] our market share. I hope my answer has clarified your question.
Ricardo Alves: Yes, thank you.
Marcel Sacco: Okay, and regarding what you asked about market share. Let’s give you the answer. I’m Marcel Sacco, I’ve been responsible since April for marketing in Brazil. As for this market share adjustment, what I can tell you is that, we’re working to balance profitability with growth. And as you mentioned, in the past 18 to 24 months, we’ve had a priority on our cost structure, always trying to protect our profitability and in the short-term, we are trying to balance growth and profitability with making certain adjustments that are helping us recover market share in the short-term if you look in the past 60 days, several of our segments have started this recovery. And we are adjusting this cost structure without harming our profitability. So we have a focus on value-added products and also the ones that where we have higher volume. And we’ve also rebalanced that innovation towards this direction products that will give us better results and also more market share. And I think we are still adjusting this equation without foregoing profitability, but with a stronger focus on recovering market share. So, we are seeing the result here. And as Lorival mentioned, our priority for the second half relates to execution, we see an opportunity to accelerate market share with this improvement of execution. And also with these year-end investments in the holidays, as well as the World Cup which will help accelerate this market share recovery. Sadia, Perdigao and Qualy will have a lot of – media presence in the second half. And we have a combination of several factors that will help rebalance this equation of growth and profitability.
Ricardo Alves: Thank you for your answers.
Operator: Thiago Bortoluci from Goldman Sachs is up next.
Thiago Bortoluci: Hello, good morning. Thank you for taking my question. My question is about costs. Lorival answered part of my question when he asked about the Halal market. The cost per kilo was down 3%. But it’s difficult to analyze that based on the historical curves. Inventory, shorter inventories. How soon are we going to see spots reflected in your P&L? Given that accounting timeframe, what’s your take for the cash COGS in the second half of the year? We’ve worked on reviewing the working capital and it won’t impact your grains strategy. But I would like to understand whether these lower corn levels will impact the hedging policy as of now? Thank you.
Lorival Luz: Thank you, Thiago. I’ll – before I hand it over to Fabio, given the importance of the commodities as an input, this is daily monitoring that we do in all the regions. So, where we buy and how we’re buying it. So before any hedge it’s how to seize the opportunities that we have in the different markets. So, that’s what allows us to have more coverage given the seasonality of the crops and production. So, this with regards to physical inventory and prices. But I’ll let Fabio give you the rest of the information.
Fabio Mariano: Well, good morning. With regard to projection, I can’t give you that related to costs, that is something that’s quite sensitive, but I can clarify certain things. The price of the grain commodity does not interfere in our hedge policy. As Lorival mentioned, when we believe that grain is at a good level, then we can have more inventory, whether it’s physical or in the orders placed to producers. When we think of our strategy to increase cash generation by reducing inventory, then you can have a temporal difference. So when you have the result of a grain derivative that can have a reflection on the COGS. Because inventory, first, you have the physical inventory, then you have the purchased balance, and then you have the derivative for coverage. And then you have the natural hedge that is your finished product. So the more finished product you have, more time you’ll have before you feel an effect from the grains in your COGS. So, this cycle can be reduced. And we believe that will happen and we can provide visibility of this throughout time.
Thiago Bortoluci: Okay, thank you.
Operator: Gustavo Troyano from Itau asks the next question.
Gustavo Troyano: Good morning, Lorival and Fabio. I’d like to follow-up on the profitability in the domestic market. Looking at a different timeframe, margins have grown throughout the quarter, but I would like to better size this challenge. How can you bring gross margins back to normal in Brazil? That was very transparent. But what’s to come in that division? Looking at your performance at the start of the second half, do you believe that there’s room for further price corrections based on the adjustments you made in the chain and also taking into account consumption, the support, the extra – the rescue money will help you to in volumes in alignment with that simplification strategy. In other words, how can you bridge that gross margin looking at top line cost? And what would be the main drivers for the expansion?
Lorival Luz: Thank you, Gustavo. That’s a very comprehensive question. I’ll try to cover as much as I can. Well, what I can say to you is that, the margins in Brazil, despite that improvement within this month, it’s still below our own potential, and where we expect to go. So there’s room for improvement, there are opportunities out there, and we can do better. And that improvement can come from both ends. You can have a better commercial execution, having the team closer to the point-of-sale, increasing our distribution, our capillarity. That’s the strategy that Marcel described. A better positioning strategy, talking about our brands, our products, emphasizing the quality of our products in the minds of consumers. We can, of course, work on the top line and improve the mix. At the same time, addressing the cost that we talk about the matrix management of our expenses. All the actions we’ve taken, you can see those results coming up into the second half of the year. This is what I’ve been saying time and time again, we have to be cautious, we have to be prudent with those factors that are not necessarily under our total control, our direct control. These are macroeconomic variables, geopolitics, international markets that can also impact costs and commodities. And we have to be, on one hand, very efficient, but to bring costs as efficient as possible to get better margins. So, what I can say to you is that, that improvement has been happening consistently. But again, below the potential we can achieve.
Gustavo Troyano: That was very clear. Thank you, Lorival.
Operator: Victor Saragiotto from Credit Suisse is up next.
Victor Saragiotto: Good morning, folks. The better profitability in the second quarter, those very strong, one of the best in this cycle in terms of speed and the EBITDA level. When we make the calculations trying to come up with the reasons behind it, I think it comes directly from poultry, faster cycle and all that. When we talk to those folks in the pork market, they’ve been losing a lot of money in the first half. And there is some adjustment going on in the supply of pork. It takes more time. But that would improve if it in fact happens, that will improve your profitability. What’s your take on and what’s going on as far as pork? Is it something that is actually going on? Can that be important to improve your price dynamics and profitability as a consequence? Or is it not happening at all? Thank you.
Lorival Luz: Thank you, Victor. I think that’s a very relevant point. Chicken certainly responds faster. But what we’ve seen is very consistent with what we’ve mentioned, it’s this adjustment that happens in a smaller period, and you have also the external market. Going back to what we’ve mentioned, you’re correct when you say that the pork market, the local market, especially when we look at the first quarter, it was very, very bad. When you look at the margins, the margins from the producers were quite low, probably the lowest we’ve ever seen. And pork markets certainly takes a lot longer to adjust itself. And this chain goes through certain phases. So, there are a number of factors that play a role and that demands more time. To speak of our perspective is, we had a slight price improvement in pork prices. But it will take more time for this adjustment to happen. We said that this would be closer to the end of the second quarter or the third quarter. So, we believe that this is something that will happen in the second quarter possibly, we will see this in the last quarter. And, of course, it’s very dependent on China. So, if China starts buying more and increasing the volume, then this adjustment will happen faster when we look at the issue of profitability, because this adjustment of the chain takes more time. And we will not see its effect in the very short-term.
Victor Saragiotto: Okay. Thank you, Lorival. I have a follow-up of that question. Do you think better profitability of processed products depends on this adjustment of pork or is it not related?
Lorival Luz: It’s – there’s certainly a correlation. When you have a lot of supply of pork inputs that brings the price down and the non-integrated producers have in excess, they have a low margin. And that pressures the profitability of processed products. But the opposite also happens and we saw that happening in 2019, 2020, where the price of pork increased. And that made a lot of non-integrated low-cost players to continue operating in the market I can’t tell you, the numbers don’t. But it’s one thing if you’re buying it at BRL 5 per kilo, it’s another. If it’s BRL 8, that will mean whether a processed product will be feasible or not. So there certainly is a correlation and that will have an impact related to pork inputs.
Victor Saragiotto: Okay. Thank you, Lorival.
Operator: Rodrigo Almeida from Santander is up next.
Rodrigo Almeida: Good morning, Lorival and Fabio, and the entire BRF team. Let me just explore two points. In the past quarter, you talked about your plan. You touched upon it once again today. But you’ve had a couple of months after that initial plan. Are there any updates? How fast – what’s the status of that simplification plan? What can we expect for the second half of the year, especially when we talk about costs and expenses? And my second question is about CapEx. I’d rather – I’d like to understand the remainder of the year and even 2023, you have the weight of those biological assets. The running rate was about BRL 4 billion a year, correct me if I’m wrong. Are you considering – I’d like to understand what you’re doing to optimize looking at 2023? These are the two things.
Lorival Luz: Thank you, Rodrigo. As to the simplification plan, and the actions we have taken, these activities or these actions were conducted in the second quarter. That’s why you don’t see those effects concentrated there. Those results, especially those related to cost tend to happen in the second half of the year. We have to take into account expenses, costs, it’s more difficult to identify those in cost, because there are several variables cost, raw materials, freight, et cetera. But what I can say now is that, the plan is underway. There are gains in both expenses and costs and also in speed and the way we make decisions to implement actions to capture market opportunities. That agility that takes place in the company across the Board. This is aligned with the Board of Directors and that decision we made together. Our focus remains in the profitability of the entire operation of course. Fabio can elaborate on the CapEx question.
Fabio Mariano: Good morning, Rodrigo. I failed to mention the CapEx in the initiatives to generate free cash flow, because, of course, the focus was on 2022. And you’re right in your comment as to working in that interval, it’s between BRL 3.8 billion and BRL 4 billion for the year. Because we have transitioned several projects from ‘22 to ‘23, projects that had to be continuous, projects that had been two-thirds concluded. So we do not have a lot of leeway for the year. But since April, we’ve been preparing the company to invest less next year. And I can assure you that it’s very difficult to approve more CapEx for growth and efficiency, and it has to do with the cost of capital and also with the level of uncertainty as to the pay off of a project given the world economic scenario. So the company will generate more cash flow next year, due to the fact that we’re not investing that much. But the interval that you mentioned is appropriate for the projections you made.
Rodrigo Almeida: Perfect. Thank you. Have a good day.
Operator: A question from webcast. Leandro Fontanesi from Bradesco.
Leandro Fontanesi: Has production gone back to normal levels? How much would you benefit from recent cost reductions?
Lorival Luz: Good morning, Leandro. We have adaptation curve all the way to the eggs fertilization, all the way to the processing, it’s going back to normal. Given the demand we are getting and the supply we have to offer. And the actual fact, the company hasn’t stated those values. And I cannot announce them those that haven’t been published by the company. So I cannot give you any further detail.
Operator: That concludes the question-and-answer session. I’ll turn it over to Mr. Lorival Luz for his final remarks.
Lorival Luz: Thank you. Thank you, everyone. Thank you for having this open dialogue. Once again, I’d like to apologize for the delay. And I’ll see you in the next earnings call.
Operator: This concludes BRF’s earnings call. Thank you for attending. Have a good day.